Operator: Hello, ladies and gentlemen, and welcome to the Autolus Therapeutics Call to Discuss the Full Year 2024 Financial Results and Business Updates. As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Amanda Cray. Please go ahead.
Amanda Cray: Thank you, Tanya. Good morning or good afternoon, everyone, and thank you for joining us on today's call. With me, our Chief Executive Officer, Dr. Christian Itin, and Chief Financial Officer, Rob Dolski. I'd like to remind you that during today's call, we will make statements related to our business that are forward-looking under federal securities laws and the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These may include, but are not limited to, statements regarding status of the ongoing commercial launch of AUCATZYL in the U.S., Autolus manufacturing, sales, and marketing plans for AUCATZYL, the market potential for AUCATZYL, and the status of clinical trials and development and or regulatory timelines for obe-cel and our other product candidates. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations and reflect our views only as of today. We assume no obligation to update any such forward-looking statement. For a discussion of the material risks and uncertainties that could affect our actual results, please refer to the risks identified in today's press release and in our SEC filings, both available on the investor section of our website. On Slide 3, you'll see the agenda for today's call. As usual, Christian will provide an overview of our operational highlights. Rob will then discuss the financial results, and Christian will conclude with upcoming milestones and closing remarks. We will then take your questions. With that, I'll turn it over to Christian.
Christian Itin: Thank you very much, Amanda, and welcome everybody to our fourth quarter 2024 financial results update. So first off, obviously, we had a very successful 2024, which sets us up well for the 2025 that we're already in a few months now. First of all, I'd like to just highlight kind of the key objectives that we have for the year. So the primary objective clearly is to execute a successful commercial launch for AUCATZYL, and we're doing really well and advancing well on that. We'll provide a bit of an update as we go through the presentation. But also, we see a lot of opportunity for obe-cel to actually expand its utility, the excellent profile that we've seen in our current experience with the product, and explore the opportunity and additional indications, as well as look at the opportunity for moving some of our other product candidates forward. And at the same time, obviously, we'll be, I think, very selective and very careful in how we're going to place our investments. Now, one of the things that you'll hear us also briefly mention is the fact that we're planning for an R&D event on April 23rd in New York that will actually outline in more detail kind of the plans on how we want to move forward in sort of creating additional opportunities for future growth. So with that, on the next slide, I'm briefly going to summarize kind of the key opportunities that we have seen and achieved during the course of 2024. As I mentioned, this has been a remarkably successful year. And we had a very strong start of the year in the first quarter when we were able to add about $600 million to our balance sheet through our collaboration with BioNTech, as well as a public financing that we conducted in the first quarter. This set us up very well to really be able to focus fully on making sure that we get obe-cel already to get through the approval process in the U.S., but also to set us up well for the commercial launch of the product. As we're going through the year, I would say, we had continuous activities on the commercial side to actually get the sites ready so that they actually would be in a position, once the product was approved to actually start onboarding the product and be in a position to move forward and actually use the product in the commercial space. Now, when we look at the approval itself, we achieved the approval in the U.S. on November 8, and I think what was very encouraging was that not only did we actually achieve the approval slightly ahead of schedule, but also actually had a label which gives us a broad opportunity in the relapsed refractory ALL space for adult patients, and actually having the first product getting through the approval process that actually did not require a REMS program. So, very nice setup in terms of the approval itself, the timing of the approval, not having a delay, recognizing that the product had an attractive safety profile, and therefore no obligation for collecting additional information around CRS and ICANS going forward, and that actually is, I think, a very, very strong foundation. What was then very, very helpful is that we were able to actually get the clinical results published in the New England Journal of Medicine in the early part of December. And shortly thereafter, the product was included in the NCCN guidelines. This is very important as you start launching a product because it gives us a lot of confidence, and indeed, this is a recommended therapy and also will support the decisions that payers have to obviously go through to get the patient signed off for commercial use. Now, when we look at the track that we had as we went through the first three months of the launch, we see a very good development in terms of the number of centers that are actually authorized and are able to deliver the product. We're currently showing 33 centers that are authorized as of March 19. And we expect that that group of centers allows us to reach approximately 60% of the target patient population in the U.S. We are continuing to move forward adding additional centers as we go through this year. By the end of the year, we expect to have approximately 60 centers that will be ready and in a position to deliver AUCATZYL to patients. We believe that those 60 centers actually reach the vast majority of the patients in the U.S. and give us a very strong foundation for a successful delivery of the product to the patients across the U.S. I already mentioned that we obviously have the publication of the study, of the FELIX study in the New England Journal, but we're also, in addition to obviously getting ready for launch in the U.S., we're also moving through the regulatory steps in the UK and in Europe and have filed in the early part of 2024 with the MH with EMA and then by middle of the year with the MHRA. And we expect actually regulatory decisions in the second half of 2025. We also started the process to actually establish ultimately the utility of the product in the UK and we're going through the assessment by the National Institute for Health and Care Excellence or NICE which is one of the key processes that you have to run through to get to a position to actually get a product adequately reimbursed in the UK. As we went through the year, there were several data presentations at key conferences that really focused on the properties that we have observed with AUCATZYL or obe-cel in the relapsed refractory adult population as we were going through and sort of actually gained more and more data from the FELIX study. We could report on the durability of the product, highlighted the safety profile, the impact of having deep molecular responses and persistence as indicators and likely requirements to get to long-term outcomes with the patient. And we're also actually were able to show the impact of tumor-verted guided dosing as well as the safety profiles impact on reducing health economic cost when we look at the cost of treating the patients. So quite a comprehensive data set that we actually were able to share across a range of conferences during the course of last year including the tandem meeting in February this year. Moving to the next slide, we're looking briefly here at some of the key outcomes that were actually presented and published in the New England Journal Publication. And what we're seeing is that the product has a very high level of clinical activity reaching deep molecular responses in the majority of the patients. And that type of activity obviously has come with an attractive safety profile and we can see that overall the level of high-grade cytokine release syndrome and the level of high-grade neurological toxicity or ICANS are low and in fact when we look at patients that have low levels of disease burden at the time of dosing those patients did not experience high-grade events either CRS or ICANS which I think gives us a good understanding of patient profile and also kind of from a safety perspective. And as we're looking at the next slide we also see that the tumor burden also actually gives us important information about the impact of the therapy it can have in terms of longer-term outcome. In this slide we're looking at event-free survival. As you can see in the top part of the panel event-free survival stabilizes at around between 45% and 50%. And we see that we see that the line actually is starting to go horizontal indicating that there is a proportion of patients that do not actually seem to progress or actually have events that are occurring. When we look at what the impact is of the disease burden prior to dosing we can see that patients that have low disease burden less than 5% do remarkably well whereas most patients with a wide range of disease burden up to 75% actually continue to do very well and only the patients that had extremely high levels of disease burden of more than 75% of two of blasts in the bone marrow at the time of dosing obviously have a lower outcome. So overall I think gives us a lot of information about the properties of the product. We have just talked about the safety that we've seen across the board that obviously the efficacy from an event-free survival across the board which looks very attractive and also there the impact of actually treating patients when the disease burden is still at a lower level which gives us a very good prognosis for these patients. When we look in the next slide we see that translating into overall survival and we see the same overall picture again stabilization of overall survival in the overall population and as well an impact that we see in terms of tumor burden where patients again with lower tumor burden [indiscernible] for the patient and obviously patient with extremely high levels of tumor burden actually have a poor outlook. Overall remarkable set of data and I think sets us up for a very, very attractive proposition for patients in this in this field. Moving to the next slide. As we're sort of thinking about sort of the early momentum of the launch in the U.S. indicators here is the centers that can actually actively deliver products to patients. As I mentioned we reached 33 centers on the 19th of March which gives us obviously a very good reach and distribution already across the U.S. and obviously presence in a lot of the more densely parts of the populated parts of the U.S. which is also the reason why we're already reaching more than 60% or around 60% of the patient population. What's also important is we're making good progress in terms of patient access in terms of lives covered and we see actually very good momentum there as well as we go through the have been going through the last three months. So that is very encouraging and also actually is a good sign that indeed patients do have really an opportunity here to get access to this therapeutic option. Finally on the next slide on the update you have heard us actually talk quite a bit about the actual manufacturing facility for commercial supply which is the Nucleus facility. I think one of the remarkable things about this field is obviously as you have the first commercial patient come in that's when you literally start the operation at that facility and I think at this point we can say that we're off to a really good start and the facility came to life and is humming well. And I think will be a very strong -- give us a very strong foundation in our ability to reliably deliver product to the centers. So with that on the next slide which is really focusing on the expansion of the obe-cel opportunity a key area that obviously we're going to be focusing on in 2025. First off on the autoimmune side we've been running obviously the CARLYSLE study. We have the initial cohort that we of six patients that are all dosed. We're running through the data cut for the upcoming R&D event on April 23rd. And we're looking forward to updating you on that initial experience with the first six patients and we're also are planning to present the data with long-term follow-up across the patients at a later time point in the second half of the year. On the hematology side obviously we're also have been moving forward with our pediatric study, the PY1 study and we expect to provide an update also second half of the year that study is also has been enrolling very nicely. In terms of the early pipeline. We obviously have a set of activities ongoing with our partners at the university college in London. And we are moving forward or have been active in AUTO1/22, AUTO6NG and AUTO8 and we continue to progress the activities around those programs collecting more information around the programs and are planning to also give a short update at the R&D day at the end of or towards the end of April. So with that I'd like to actually hand over to Rob and give us a summary of the financial results.
Rob Dolski : Thanks Christian and good morning or good afternoon everyone. It's my pleasure to review our financial results for the full year 2024. Cash, cash equivalents and marketable securities at year end 2024 totaled $588 million as compared to $239 million at the December 31, 2023 time frame. This increase was primarily a result of our strategic collaboration with BioNTech and concurrent equity financing for a combined $600 million in gross proceeds to bolster the balance sheet ahead of our U.S. commercial launch for AUCATZYL. Loss from operations for the year ending December 31, 2024 was $241.4 million as compared to $179.7 million for the year ended 2023. Cost of sales totaled $11.4 million following the BLA approval for obe-cel. This amount represents the cost of commercially available plant capacity that can no longer be classified as R&D expense as of November 8, obe-cel approval date even though it was not associated with product sales in the fourth quarter. Our research and development expenses increased to $138.4 million for the year end in December 31, 2024, compared to $130.5 million in the same period 2023. This change was primarily driven by increases in employee salaries, related costs, manufacturing costs related to obe-cel, and then partly offset by some decreases in professional fees and facility costs. Our selling general and administrative expenses increased to $101.1 million for the year, compared to $46.7 million for the same period in 2023. This increase was primarily due to the salaries, other employee-related costs driven by the overall increase in headcount supporting commercialization activities. And finally, net loss was $220.7 million for the year-end, December 31, 2024, compared to $208.4 million for the same period in 2023. With the recent approval of AUCATZYL in the U.S., I'd also like to note two financial milestones that were triggered in the fourth quarter. As a result of the FDA approval, Autolus received a $30 million milestone payment from Blackstone, based on the terms of our previously announced Blackstone collaboration agreement. In addition, the company made a regulatory milestone payment of GBP10 million, in accordance with our UCLB license agreement. These are both detailed more specifically in our 10-K filing. We continue to believe that with our current cash, cash equivalents, and marketable securities, we are well capitalized to drive the full launch and commercialization of obe-cel in relapse refractory adult ALL, as well as to advance our pipeline development plans, which includes adequate runway to reaching data in the first pivotal study of obe-cel in autoimmune disease. And as Christian noted, we look forward to providing further detail on these plans at our upcoming R&D event. I'll now hand back to Christian to wrap up with a brief outlook on expected milestones. Christian?
Christian Itin: Thank you very much. And moving to the upcoming milestones. So when we look into 2025, we are starting the year with also the update on the SL1 CARLYSLE study, which we are planning to provide on April 23 at the R&D -- company R&D event in New York. We then, when we look at the pediatric study, expect to provide the update on the pediatric study second half of the year, as well as obviously longer term follow up on the CARLYSLE study as well, second half of the year. And we do expect also during the second half that we receive the notifications around the regulatory process for the UK, as well as for the EU regarding potential approvals in those two jurisdictions for obe-cel. So I think a very interesting year for us in terms of the progression of opportunity that we're actually starting to execute on. We're outlining at the company R&D day, but then also obviously we'll be able to provide more evidence and projections as well with regards to the launch progress that we're making for AUCATZYL in the U.S. So with that, we're happy to take questions and we'll hand over to the operator. Thank you.
Operator: Certainly. [Operator Instructions] Our first question will be coming from James Shin of Deutsche Bank. Your line is open, James.
James Shin: Hey, good morning, guys. Thank you for the question. On AUCATZYL launch, and I know it's a progressively evolving situation. But can you provide any color on the initial demand or the book of orders thus far? And then secondly, oncologists have mentioned that the split dosing and the delayed onset of CRS for AUCATZYL can be useful for outpatient administration. Can you say whether outpatient use is happening or planned thus far? And I'll just leave it there.
Christian Itin: Yeah, well, first of all, thanks a lot for joining, James. On the launch, I think what we can say is that we have obviously seen a very nice dynamic around the actual activation of the centers, which is really critical. And it's very much driven by the level of interest, enthusiasm by the centers to actually do that work and actually get the product active. That also is often driven by actually having patients that are in need of therapy, which is sort of usually actually the key driver in that process. So I think that gives us a very good level of confidence in terms of how the product is viewed, the level of interest. And I think the dynamic we've been seeing has been very encouraging. Obviously, we provide a fuller picture at the Q1 update, but I think what we can say is that we see a very good dynamic and I think a very -- significant level of interest and I think a recognition that the product has attractive properties for these patients. With regards to the outpatient question, I think there's an opportunity, as you've seen from the safety data that I highlighted during the presentation is that patients that have very low levels of tumor burden and lymphodepletion tend to have a very limited amount of immunological safety events. And I think that is certainly attractive and has led to a number of physicians to suggest that they might be interested to actually explore and possibly to administer the product in a sort of a hospital outpatient setting. We'll need to see how that evolves. A lot of that has to do with the actual experience gained with the product on the commercial setting and the confidence physicians are building up. And I think we'll see that evolve over the upcoming periods. I don't think at this point in time I think we can guide you in any way at this point. I think it's too early in the launch, but it's clearly an observation that a number of the physicians certainly have made. And it will be interesting to sort of follow that as we go through the year.
James Shin: Thank you.
Operator: And one moment for our next question. Our next question will be coming from Rajan Sharma of Goldman Sachs. Your line is open.
Rajan Sharma: Hi. Thanks for taking my questions. Just a couple on logistics, actually. So, obviously, you have the target to have 60 authorized centers by the end of the year. I'd be just interested in the ramp to get to that from where you are right now. Should we expect that to be linear, or could this potentially come in blocks of centers coming online? And then the second one, just on tariffs. Actually, that's obviously been a focus for investors in the sector, given the headlines we're seeing. Could you maybe just talk to how you think that could potentially impact, given that manufacturing's in the UK? Thank you.
Christian Itin: Yeah. Thanks a lot for joining. So, the first question is related to the ramp up of the centers getting online. I think we've seen in the first 30 centers, I think, a pretty steady trajectory of these centers actually getting online, which I think has been expected. Because we do have a -- we didn't have the 30 centers prepared for onboarding by the time of approval. And then it's the activation step that they were running through. And you could see that basically, that we had early January, as we had reported around 20 centers that were active. And then that obviously built then through the quarter to now middle of March to about 33. So, there's a pretty continuous kind of flow and movement that we've seen. With the next 30 centers, I think we'll see that I think build gradually as we go through the year. It's obviously very much a lot of that is really driven by the individual centers and the time and the speed at which the onboarding process is sort of conducted. A lot of that has to do with legal reviews and so on. And frankly, the capacity at the respective hospitals to sort of manage that workload. So, there is an element of variability, but we would assume that we have a reasonably steady process as we go through the year. And we obviously will be able to keep updating you on a quarter-by-quarter basis, and also the actual centers obviously are visible for physicians and patients on the Autolus’ website. So, it is something that actually is can actually be followed, but in terms of projection, we would expect that to go relatively steady as we go through the course of the year. With regards to tariffs, I think, very much an open question at this point in time, whether there will be tariffs, what it might be -- what type of products might be impacted, et cetera. I think very hard to speculate. In most other, I think, in the past, if we look at tariffs that sort of were imposed on pharmaceutical products, they tend to actually be very well thought through and typically minimal, because nobody wants to actually have an impact on the supply of medication for a population. That's not a good thing to do from a health perspective, but also overall perspective, clearly not the -- I think something that is really attractive to impose. And typically blood products have been excluded from tariffs. If you look at historically at the development of tariffs. I think at this point, I think way too early to actually have a real view. I don't think we have visibility in the space. And so at this point in time, I don't think there's more that we can really comment on that.
Rajan Sharma: Okay, thank you.
Operator: And one moment for our next question. Our next question comes from Asthika Goonewardene of Truist. Your line is open.
Asthika Goonewardene: Hey, good morning. Good afternoon, guys. Thanks for taking my questions. Among the centers that have treated patients in the commercial setting with their AUCATZYL, can you give us a little bit of color on what the spread is from the spread of time from site activation to getting that first patient in? And then I have a quick follow up.
Christian Itin: Yeah, so thanks for joining us, Asthika. It's quite variable in terms of the time it takes to actually go from activation to actually having a patient on. For many of the centers, a lot of the activation process and the speed at which the activation process kind of went through had to do with a patient actually being suitable for the therapy and considerably suitable for the therapy and the momentum around that. So there's some centers where there's a relatively short period in between, but you could also have situations where if the process took a certain amount of time that maybe the patient had to move on throughout the therapy and then there might be somewhat of a bit of a lack until the next patient might actually come along. I think the short answer is it's variable. I don't think we could easily project that within X amount of time the patients are on. We're seeing in general that we see centers to actually get into sort of a repeat mode and actually get more than one patient obviously on, which is really good. Because one of the things we would like to see that over time, centers actually start using the product more regularly. And with that, obviously, it will start to see some element of momentum build over time. So early signs, I think, are very positive, but it's still early days.
Asthika Goonewardene: Thanks, Christian. I know it's very early days of the launch right now, but one of the intriguing things about our capsule was that perhaps patients do better by not being bridged to a transplant. And you've had several opportunities to talk about the data and present the data in medical journals since approval. I'm just wondering with your initial experience right now, what seems to be the sentiment among prescribers and treating physicians? Has there been some sort of an appreciation for this or do you think you'll still need more time and to give them more hands-on experience to feel comfortable saying, I don't want to take this patient to transplant after AUCATZYL? Thanks.
Christian Itin: Yeah, I think the question with regards to, is there a need for sort of subsequent therapy? When we look at the trial experience, we had about 18% of the patients move to a subsequent stem cell transplant, a relatively low percentage of the patients. A lot of the patients, if you had a prior transplant, actually wouldn't be eligible again for a transplant, or they might have other comorbidities, et cetera, that would sort of prevent a transplant or make it unlikely to be successful. So it depends to some extent on the nature of the patients coming in, but overall, obviously, even in the trial, we had seen a relatively limited use of transplants. We'll need to see kind of how that develops. I don't think at this point we can even tell because it's just too early. But we obviously, based on the experiences that the physicians had with the product through the development, that we would see probably initially a similar picture. And then as there's more, I think, experience gained, we still need to see where that's headed. But overall obviously, very encouraging and obviously an option for patients that currently you would have very limited treatment options for. And I think this is an opportunity here to really position the product across the entire range of risk factors of age. And I think that's really where there is a significant appeal for this product because it is actually, it can actually deliver positive outcomes across the entire range of the patients that we have in the relapsed refractory setting. And obviously, what we have seen is that the patients that were receiving transplant didn't appear to actually do better than patients who did not receive transplant and that certainly has resonated with a lot of the physicians. And so we'll see how it develops. I think too early to tell, but overall, I think a lot of conviction that there is a real opportunity for the product to be a standalone therapy without the need for subsequent consolidation.
Operator: And one moment for our next question. Our next question will be coming from Matthew Phipps of William Blair. Your line is open, Matthew.
Matt Phipps: Hi, Christian. Thanks for taking my question. I was wondering if you could just maybe comment on any of the manufacturing success rate or turnaround time so far in the commercial launch, maybe just if it's, I guess, maybe I'm in line with some of the clinical experience. And then I assume that BioNTech has not yet made any decision on AUTO6NG as far as opting in. Is there a timeline for when that might occur?
Christian Itin: Yeah, thanks for joining, Matt. In terms of sort of the production experience that we're gaining now on the commercial side. We see that actually mirroring very nicely what the experience was during the conduct of the pivotal studies. So that's very reassuring. And obviously, we're starting to get more and more experience as we're sort of running more and more products through the facility. But we're seeing the data to track very nicely what our prior experience was. So that's the first observation. The second question was related to the options that BioNTech has. BioNTech has an option on our solid tumor program, AUTO6NG. And that's an option that actually is still running. And I think is obviously going to be an option as we had indicated before, that will be triggered prior to moving the product into a pivotal study. So we're still obviously running through the current clinical study we're conducting with UCL. And so we would expect that that trial to actually deliver results. And then after we have the results in and the path forward is clear, that that sort of actually would sort of be the time point for an option exercise. So it's still a little bit ahead of us here.
Operator: And one moment for our next question. Our next question will be coming from Gil Blum of Needham & Company. Your line is open.
Gil Blum: Good afternoon, good morning. And thanks for taking our question. Just a quick couple from us. So we're going to see some of the SLE data in your upcoming R&D day. And maybe you can put that data in context. I mean, six patients, what kind of data are we going to see here? Safety, vasal aplasia. And my second question is, where would you say most of your resources as it relates to the launch are being invested? Just side roll out or is there more to it? Thank you.
Christian Itin: Yeah, thanks a lot. Much appreciated, Gil. So with regards to the SLE data, as I indicated, this is a cohort of six patients those are 50 million cells. There's a set of parameters we're looking at. The first set of parameters are really understanding the properties of the product. We've seen quite a bit of variability across the various programs in terms of the ability of the products to actually expand in vivo and the sort of persistence that was observed with these products. So that's the first observation. Because that gives us a sense of the quality of the product and how it actually performs. And it also gives us an ability to sort of look at and compare back to, as an example, the experience that the Aerojets team have in airline, which I think is still kind of the key data point or set of data points that I think the field is comparing to. So first is product property from a behavior perspective of the product itself. The second is clearly around safety. We've seen variability in terms of the safety events. So we're going to look obviously at the CRS. We're going to look whether there's anything that we would pick up on neurological talks. But that gives us sort of the next picture, element of the picture in terms of the behavior of the product in these autoimmune patients. The third area is around the actual expected action of the product. And that actually goes to the depletion of B-cells. So we're going to look at B cell depletion. We're also going to look at the impact on auto-reactive antibodies. We're going to look at disease scores. And in particular, we're going to also look at not just the disease score as a generic score, but also to look at the individual components of the disease score, which I think is important and has certainly led to a bit of confusion during the last year when I think different data sets were compared to each other or people were trying to do that. In general, I think the patient population we're looking at is sort of a more advanced and more real-world population that we're looking at in our CARLYSLE study. These are patients that do have actually significant impact on the kidney. And so it is a population that has an actual level of tissue damage that you actually do see an impact on kidney function. So it's a more real-world population compared to the very young and early in the disease population that we've seen in [indiscernible]. But I think it gives us a very good view to sort of actually compare to some of those early experiences, but also gives us an understanding of the profile of the product. The follow-up obviously is limited. And that's also why we're pointing to the second half of the year for longer term follow-up, full reconstitution of the B-cell compartment post persistence stops in those patients. So that will be sort of a second data set later in the year, but I think we're going to get a very good feel for the product and the properties that we were expecting, that we expect to see in these patients. And then in terms of the resources going into the launch. I think what's important about from a commercial perspective that what we're delivering and this with these types of therapies is really a set of services to support the centers. So it's different from your conventional commercial model, and it's much more focused on delivering services and providing support. We do that through a single point of access that actually triages and supports the center, triages the needs and requests for support. And actually is directly engaging with the centers and partners with the center very closely. I think that's sort of the model that we're running, and that's obviously then supported by medical affairs, as well as obviously the support on the reimbursement side and the engagement from a market access perspective. So that's sort of the distribution we have. So it's much more on the service side than it would be sort of the more classical, sales and marketing functions that you would have with a conventional launch of a product. So maybe that could be helpful. Thank you.
Operator: Thank you. One moment for our next question. Our next question will be coming from Kelly Shi of Jeffries, your line is open, Kelly.
Kelly Shi: Congrats on the progress, and thank you for taking my questions. I have two. First, for the adult ALL program, I'm curious if the first wave of treatment adoption included the centers had no prior Takeda's experience, and for the centers have some hesitation to make a switch from Takeda to what would be the top reasons you hear. Thank you.
Christian Itin: Yeah, thanks for the questions, Kelly. I think what's been very interesting to see is that we had both centers with prior experience with obe-cel as part of the FELIX study, as well as centers that were not part of the FELIX study that we saw actually very early on onboarding and activate and getting activated. So it's very interesting to see that we have both types of centers actually moving very quickly. And we do see that there's clearly a substantial need there in terms of patients that were considered by those physicians to be very suitable for the treatment with obe-cel, and in their view, apparently felt that that was the appropriate treatment for each patient. So it was very interesting to see the dynamic of both types of centers to get on very quickly. And I think we're seeing very good interest levels for using the product early on, and across quite a wide range of patients in terms of the conditions that the patients were in. So I think overall, I think looking very positive and sort of similar to kind of the range of experience I think that we were having in the clinical study.
Kelly Shi: Thanks for the color, and also for SLE, you have mentioned that you could add a few more patients at the same 50 million dose or higher. Just curious, what kind of efficacy signals would drive your decision to dose higher than 50 million? Alternative question here is after several data sets dropped from last year for cell therapy and SLE, could you share your insights on the treatment goal of CAR-T for lupus at this moment? Thanks.
Christian Itin: Yeah, so obviously the way we set up the study is to go in with a fixed dose, which is a translation of the pediatric ALL dose, use that as the basis for the fixed dose, that's how we arrived at the 50 million cell dose. We then had an opportunity or designed the trial in a way that would allow us to actually step up or step down. And we also have an opportunity to obviously expand the cohort. We'll provide more information obviously at the R&D day, and we'll sort of give you a sense of kind of how we're moving forward and what the next steps are and where we're going to go. In that space, and I think that will sort of answer actually I think the question in much more deeply. Fundamentally, we're obviously -- I think we're at a good place in terms of the experience that we had and also the safety data we already have with the product at that dose level as well as the efficacy level and the ability to really remove B cells very, very deeply in patients based on the pediatric ALL as well as the adult ALL experience. So we think we're in a good spot there. We have a good understanding of what our product does and how it behaves. And we're looking forward to giving you the update in terms of where we're going to go next at the April 23rd R&D day. And then, I think you had a question related to SLE and the positioning of CAR-T in SLE. Did I hear that right?
Kelly Shi: Yes.
Christian Itin: Okay, so I think that our review actually in terms of the positioning of CAR-T in SLE, I don't think has really changed. Obviously, when you look at SLE in the U.S., you've got about 400,000 patients overall, so it's a very large population on incidence basis. But many of these patients can be managed with standard of care at a reasonably sensible level. But we do have a small proportion of patients that do actually progress to very severe stages of the disease where the level of intensity of therapy that we're obviously having with the CAR-T therapy we believe is very well positioned, very well warranted. And that's actually a much smaller population. We have indicated that this is somewhere between 10,000 and 20,000 patients added to 400,000. It's a much smaller population in the true high medical need segment of the disease where we think that this type of a therapy is well suited to be used. And I think also where you have a compelling health economic argument to treat those patients with the CAR-T therapy.
Kelly Shi: Thank you very much.
Christian Itin: Thank you.
Operator: One moment for our next question. Our next question will be coming from Yanan Zhu of Wells Fargo, your line is open.
Yanan Zhu: Great, thanks for taking our questions. So first, I was wondering, could you comment on in terms of the centers onboarded, have you onboarded the top 10 centers in terms of the ALL patient volume or is there still work to be done there? And also wondering, are you in a position to comment on number of apheresis to date or how has that been evolving? And lastly, I was wondering whether you plan to provide sales guidance at some point and if so, when might be the right time to do so? Thank you.
Christian Itin: Thanks a lot, Yanan. And I do understand your questions. So let me go through. First of all, have the 10 top centers being included. When you go onto the Autolus’ website, you can actually see the centers that are on there. You do see that many of the top institutions in the U.S. are already in a position to actively deliver or cancel. So I think that's something that's actually publicly visible. You see the key centers there that have very significant catchment area and very consistent high levels of patient flows. So we do believe that within those first 33 centers that we have, many of the very high volume centers, there are probably only a few additional relatively high volume centers that may not yet be active at this point. And this is why we're guiding to already within that population to cover a very substantial proportion of provided a large proportion of access to the U.S. patients already. And that also coincides when you look at the distribution, also with the areas in the states with high levels of population across as well, which is a way to look at this and sort of get a feel for that. With regards to apheresis, we do not guide on apheresis. And I think there's been some companies that have tried to do that. We don't think it's going to be helpful to do that because there's obviously a time difference between apheresis collection and actually dosing of the patients, which actually then gets, I think, a very complex way of reporting and sort of following the story. So we're going to report actually on the patients that were dosed, which we think is the cleanest way of doing that because that is also the time point when, in fact, you recognize revenue. So that's important. So we're going to have a very consistent way of reporting that and we're not going to give a leading edge sort of view based on the number of apheresis. And then the last point was around sales guidance. We certainly for this year -- we will not give any sales guidance. And we don't believe that that's actually a very sensible thing for us to do, to give guidance, simply because you basically have multiple developments that you're actually going to go through that each one of them will be on a trajectory and a curve of its own. So we have obviously the number of centers that are active and you'll see that, report on that, and it's publicly visible. So that is also the basis to even have an ability to deliver therapy. So that momentum and the onboarding and the additional centers obviously will sort of increase your footprint and your ability to sort of drive sales. The second aspect is that obviously within each one of the centers, there are multiple physicians that typically do deliver therapies. They have different backgrounds and you often start with an individual physician starting to use the product and over time and experience gain, more of the physicians we expect to start using the product. That's another kind of ramp that is going through. And the third has a lot to do with obviously the experience made with the program per se and with that, the ability to actually get access and provide access to a larger proportion of patients who today may not actually have considered access to CAR-T as well. So you have several developments that each of those actually are in an individual curve. Trying to actually overlay that and project is actually very challenging and we're not planning to do that. So we're going to actually stick with reality, which is patient's dose and revenue recognizable. And I think that gives us a very clear, very clean communication. I think we'll allow everybody to follow exactly where we are.
Yanan Zhu: Great, great. Those makes a lot of sense. If I may have a very quick follow-up on the SLE second half data update. I was wondering beyond the additional follow-up for the first six patients, what might be the incremental new data at that update? Thank you.
Christian Itin: Yeah, so I think the most important update will be obviously the follow-up because one of the key questions that you have with this type of a therapy is whether indeed you had a full reset of the compartment. So whether you were able to actually have an impact on the disease or move the auto-reactive antibodies. And then actually once the therapy stops working in the patient, you see the recurrence of the B-cells and what you want to see at that point is an absence of auto-reactive B-cells. That gives you the information that indeed you were able to do a reset in the compartment. So I think that's really important information because it gives you information about the actual clinical impact and true impact that the therapy will have. So that's the most important information. And then we're going to guide obviously at the April meeting and how we're going to plan going forward. But I think the primary and the most valuable piece of the information we'll be sharing will certainly be around the long-term follow-up.
Yanan Zhu: Great, thank you.
Operator: Thank you, one moment for our next question. And our next question will coming from Jacob Mekhael of KBC Securities. Your line is open, Jacob.
Jacob Mekhael: Hi there, and thanks for taking my question. I just wanted to zoom in again on the initial experience with AUCATZYL in the commercial setting, particularly in terms of the vein-to-vein time that you have been able to achieve. Have you been able to achieve your target of 16 days with the first few batches? And perhaps more broadly, what has been going well and are there any learnings from the first few, yeah, I guess batches that you will implement going forward?
Christian Itin: Yeah, so thanks for joining, Jacob. So what we see actually in doing the initial phase of the launch in terms of the turnaround time for the product is that we see a high degree of consistency with our prior experience and tracking within our expectations that we had for the guidance that we had out for the product itself. So we feel very confident that the consistency we're seeing actually builds very nicely and we see those processes work very well. In terms of the learnings, I think one of the interesting things, of course, is that I've mentioned that in the context of the manufacturing side, it's literally the patient's number one coming through the door. Basically, that's when you actually turn the engine on and you start actually have every aspect of the process from supporting the centers with information to support actually and secure reimbursement all the way through to the actual handling of the product, the handling of the up resale, the whole logistics chain, the manufacturing process itself, and then obviously the additional support of the center in terms of training, et cetera. So we have actually all of those items that actually start to actually run. And obviously they have to run on time, they have to be consistent, and all of the systems also have to be robust and stable. And that's an interesting transition. So I think a lot of good input that we had working very closely with the centers to really focus on making sure that the experience for the centers are positive and that we're also taking as much of the workload off the centers. And I think that's been a key focus. And as you can imagine, each center works a bit differently. And so there's a lot of learnings that obviously we're going through with each one of the centers to make sure that this is as positive experience as possible and that we're continuously improving our platform for the engagement, the booking, and all the way through in terms of delivery of the product. So this is an ongoing process. And I think we're seeing really good collaboration with all our centers, very valuable feedback. And we're continuously looking and strive to actually improve the experience. And that's actually the process we're in. And we're convinced we're going to be in that for the duration of the delivery of this product because we want to be as easy to use as possible for the centers, as easy to access as possible. And we're going to continue to work on that and make sure that that's going to be an experience that we can actually continuously improve over time. But great start, good level of engagement, great feedback. And I think puts us in a very strong position.
Jacob Mekhael: Okay, thank you. I just have one more, if I may. On your conversations with the EMA on the EU approval. Based on those conversations, where in the second half do you expect the approval to come? And perhaps are you able to comment on any preparations that you're working on for the EU launch and how does that process compare to the U.S. in terms of center onboarding?
Christian Itin: Yeah, so the interaction with the European agency is going through the normal process, which is a very well-described. And also from a timeline perspective, accessible, well-defined process to go through. So that's running. We started the process in the end of March last year. So we're kind of getting to the latter part of the process, which is a series of questions, answers, additional review, final questions. Again, a review answers, a final review. And then you go into the final steps that ultimately result in an approval or no approval. So we're in that second half of the process, but I don't think it makes sense for us to actually try to pinpoint dates. That wouldn't be a sensible thing for us to do because frankly, we don't run the clock. So with regards to the preparation, I mean, very similar to what we did in the U.S. in terms of preparation, working with the clinical centers in the UK and we're working with clinical centers at an earlier stage in Germany as the first country that we're interested in to potentially be in a position to launch. So we're in conversation with the center. We start to do the preparatory work as we've done in the U.S., very similar process that we're running through. And a lot of the learnings that we have made in the U.S. obviously are very applicable also for the UK as well as is applicable for European centers. So that's ongoing and obviously gives us a very strong basis because obviously a lot of the systems have been worked out already for the U.S. launch and they require typically only minimal adaptation for the jurisdictions in Europe as well. So we think we're in a very good spot there and can do that and actually frankly, do that work in a very efficient way.
Jacob Mekhael: Okay, thank you. That's very clear.
Christian Itin: Thank you very much.
Operator: Thank you. One moment for our next question. And our last question will be coming from Simon Baker of Redburn Atlantic. Your line's open.
Simon Baker: Thank you very much for taking my question. Two, if I may, please. Firstly, just continuing on AUCATZYL and the UK. Typically, we see the importance of a NICE assessment as having relevance far beyond the borders of the UK. So just wondering if you could give us an idea on the expected timeline of a decision by NICE on AUCATZYL. And then moving on to the CARLYSLE study. Could you give us an idea of the duration of exposure that we will see at that interim analysis for the six patients? You started dosing in February 24. So I just wanted to give us some flavor of how much follow-up there will be across those initial six patients. Thanks so much.
Christian Itin: Thanks, Simon. So I'll start with the second question, which is sort of the follow-up time. Out of the six patients, we're going to have one patient with more than six months of follow-up, two patients with more than three months, and three patients that have somewhere between one and three months of follow-up. So that's sort of the nature of the follow-up. And that's also why I indicated the importance of going to the second half of the year for longer follow-up and understanding kind of the overall profile in terms of the reconstitution of the research department. With regards to the UK, as you pointed out, there's sort of two processes that you run in the UK. You have, on the one hand, the regulatory process, which is run through the nHLA and has it run through its own timeline. And then there's the second set of engagements, which is really to sort of actually demonstrate the health economic benefits of your product as part of the assessment that ultimately will lead into a determination of what the price in the UK is. Both processes take an insignificant amount of time. And both are processes that are ongoing. And obviously, it's not entirely under our control in terms of the timing. But I think both are well where they need to be relative to each other. And so we're looking forward to updating you once we've sort of actually cleared the regulatory hurdle. And then obviously can talk about the final steps that you have to go through before you can actually deliver a product in the UK commercially.
Simon Baker: Great. Thanks so much.
Christian Itin: Thank you very much.
Operator: And I would now like to hand the call back to Christian for closing remarks.
Christian Itin: Yeah, first of all, thanks a lot for joining. Exciting 2024. I think we're in a really good start for 2025. We're excited about where we are with the launch, the opportunity to broaden the utility of obe-cel in the future as well. And we're looking forward to updating you at the 23rd of April at the R&D Day in New York. And obviously, we would love to see many of you actually be able to join us in person at that event. So thank you very much. And thanks for your questions. Have a great day.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.